Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to CBAK Energy Technology's Third Quarter of 2025 Earnings Conference Call. [Operator Instructions] Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, we are recording today's call. If you have any objections, you may disconnect at this time. Now, I will turn the call over to [ Etian Tian ], IR specialist of CBAK Energy. Ms. Tian, please proceed.
Unknown Executive: Thank you, operator, and hello, everyone. Welcome to CBAK Energy's earnings conference call for the third quarter of 2025. And joining us today are Mr. Zhiguang Hu, or Jason, Chief Executive Officer of CBAK Energy; Mr. Thierry Li, Chief Financial Officer and Company Secretary; and [ Yvan ], who will help with our interpretation, will join us for the Q&A section. We released our results earlier today. The press release is available on the company's IR website at ir.cbak.com.cn as well as from the Newswire Services. A replay of this call will also be available in a few hours on our IR website. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligations to update any forward-looking statements, except as required under the applicable laws. Also, please note that unless otherwise stated, all figures mentioned during the conference call are in U.S. dollars. With that, let me now turn the call over to our CEO. Please go ahead, Jason.
Zhiguang Hu: Hello, everyone. Thank you for joining our earnings conference call for the third quarter of 2025. Our consolidated revenue rose sharply this quarter, increasing 36.5 percentage year-over-year to $50.9 million compared with approximately $44.6 million in the same period last year. The strong growth was primarily driven by the recovery of Hitrans, our battery raw material segment. Since acquiring Hitrans in 2021, the segment has been weighed down by industry-wide overcapacity and prolonged decline in raw material prices, resulting in several years of weak performance. Recently, however, we have been pleased to see clear signs of recovery. Raw material prices have rebounded steadily, driving a meaningful turnaround at Hitrans. In the third quarter alone, Hitrans generated approximately $27.2 million in revenue, representing 143.7 percentage increase year-over-year. With the continued recovery in the raw material market, we are confident that Hitrans team will build on this positive momentum to further expand sales and narrow losses in the coming quarters. Our Battery business also began to stabilize in the third quarter after a short-term volume decline caused by our ongoing product portfolio upgrade. Revenue in this segment grew 0.7 percentage year-over-year, effectively returning to the same level as the prior year quarter. This improvement was mainly driven by robust demand for our Model 32140 battery produced at Nanjing plant, where production capacity remains fully utilized and a significant backlog of orders persist. To address this supply shortage, we are activating the launch of Nanjing Phase II facility, although slightly delayed. We now expect mass production to begin in mid-November 2025. Compared with the 13-gigawatt-hour capacity of Phase I, Phase II will add another 2 gigawatt-hour of capacity. Given the current supply-demand imbalance in the market, we anticipate this expansion will make a substantial contribution to next year's sales. In October 2025, we officially commissioned a new product line in -- at our Dalian facility. Historically, this plant has focused on producing Model 26650 and 26700 battery model, product with nearly 2 decades of market presence. In response to evolving customer needs, we invested in a new line dedicated to manufacturing the larger, higher performance 40135 Model. Over the past year, many of Dalian's customers have been conducting testing and certification process for the Model 40135, a necessary step that temporarily impacted shipment volume and contributed to a brief slowdown in the battery segment revenue growth. Early market feedback, however, has been very encouraging. Previously, the Dalian plant had 1 gigawatt-hour of capacity for the Model 26 Series. The new line has an additional 2.3-gigawatt-hour capacity for the Model 40135, similar to the Nanjing expansion. This upgrade is expected to become a key growth driver for 2026. Now, let me turn the call to our CFO, Thierry Li.
Jiewei Li Thierry: Thank you, Jason. As Jason mentioned, Hitrans delivered a very solid performance this quarter, with sales increasing significantly and net loss narrowing to $2.1 million, an 18.8 percentage improvement from $2.6 million in the same period of 2024. If this momentum continues, we believe Hitrans is on track to return to profitability in the coming quarters. Meanwhile, although our Battery business reported flat year-over-year revenue, following a weaker performance last quarter, segment net income rebounded strongly, up 122.7% to $4.53 million compared with $2.04 million a year ago. This rebound was mainly driven, as Jason noted, by robust demand for our Model 32140 batteries, which are currently in short supply. With both segments showing minimal improvement in profitability, our consolidated net income attributable to CBAK Energy shareholders reached $2.65 million, representing a 150-fold increase year-over-year. Looking ahead, we are confident that the new 40135 production line at our Dalian facility, together with the upcoming 32140 production expansion at our Nanjing plant will further enhance our earnings performance. Combined with the ongoing recovery of our raw materials industry, which continues to strengthen Hitrans' results, we believe that our overall performance in the coming quarters and years will deliver sustainable value for our shareholders and investors. Furthermore, we continue to pursue overseas manufacturing expansion, but progress remains contingent on updates to China's export control policies covering lithium battery materials and equipment. Until the Chinese authorities clarify or adjust these restrictions following the recent meeting between the Chinese and U.S. presidents in Busan, we are unable to advance specific overseas projects. On the commercial side, we have signed a term sheet with one of Asia's largest publicly listed companies to jointly develop an overseas lithium battery production base. This reflects strong strategic alignment and commercial potential. However, we would like to remind investors that policy shifts could affect our overseas plans and timelines. Should policy conditions permit, management of the company has reached a firm consensus that establishing a stable overseas production base outside China will significantly enhance our supply reliability and strengthen our position as a preferred supplier to major global customers. Thank you. We will now open the floor for the Q&A section. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from the line of Brian Lantier from Zacks Small-Cap Research.
Brian Lantier: Really impressive results from the LEV division. I was wondering if you could talk a little bit about the -- any particular customer concentration in that market. And how sustainable you see the light electric vehicle sales going in the coming quarters?
Zhiguang Hu: Thank you, Brian. [Foreign Language] [Interpreted] So actually, for the LEV business, especially the 2-wheelers and 3-wheelers, so I think now we are developing pretty good, especially in the Southeast Asia countries. And for example, in India, for the top 10 2-wheelers OEM, and we are -- we have all in communication with them. And some of them we have already had mass supplied to them. And also, for example, in India, for the battery swapping business, we are also incorporating with one of the biggest battery swapping company in India as well. So in this industry, I think now we are developing pretty good.
Brian Lantier: Okay. Great. That's really helpful. Regarding Hitrans, what do you see overall in the market regarding potential oversupply? Has demand come up to meet the supply in the industry? And should we expect more balance in the market going forward?
Jiewei Li Thierry: Okay. Brian, let me take this question. For Hitrans, this product is always very clear. They're making NCM raw materials to a couple of the battery manufacturers. Some of them are not our competitors because we're making LFP cells. So Hitrans is exploring the market, but I don't think they're going to find some other new customers beyond the current area. So what Hitrans will do is to keep improving the quality and the performance of their current raw material products. And along with this recovery of the whole industry, I think we can expect or anticipate a much stronger performance of Hitrans in the coming quarters.
Brian Lantier: Okay. Great. And, I guess, just looking forward to 2026, it sounds like you could, at some point be -- have production capacity above 6 gigawatts. When do you expect that to be the case? Is it midyear, the end of 2026? And has it become any easier to secure the necessary production equipment to power these expansions?
Zhiguang Hu: [Interpreted] Yes. So currently, the status is all of the equipment has already been installed in the warehouse in both Dalian and Nanjing factories. So we have already -- well, in Dalian, it's already trial production. And in Nanjing, it will be start of trial production in this month. And we, hopefully, by Q1 next year, then we will achieve mass production for both factories. And also, in terms of all of the orders we have got, and then the 6 gigawatts-hour will be achieved next year, which is in accordance with the order we have already received from the customers.
Jiewei Li Thierry: And I would like to add another point, I think in mid-November, we're going to announce our Nanjing expansion plan, it's going to complete soon. And then, we are preparing a video showing the latest equipment we have and the new production line for the purpose that all our investors and shareholders can have a very, very clear picture of how our factory looks like.
Operator: [Operator Instructions] Seeing no more questions in the queue, let me turn the call back to Jason for closing remarks.
Zhiguang Hu: Thank you, operator. And thank you all for participating in today's call and for your support. We appreciate for your interest and look forward to reporting to you again next quarter on our progress.
Operator: Thank you all again. This concludes the call. You may now disconnect. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]